Operator: Good day, ladies and gentlemen, and welcome to the Q1 2012 Providence Service Corporation’s Earnings Conference Call. My name is Kirstie, and I’ll be your operator for today. [Operator Instructions]
 I would now like to turn the call over to Ms. Alison Ziegler of Cameron Associates. Please proceed, ma’am. 
Alison Ziegler: Thanks, Kirstie. Good morning, everyone, and thank you for joining us this morning for Providence’s conference call and webcast to discuss financial results for the first quarter ended March 31, 2012. The press release was issued last night. If anyone would like to be added to our e-mail list, please call (212) 554-5469. Before we begin, please note that we have arranged for a replay of this call. The replay will be available approximately one hour after the call’s conclusion and will remain available until May 17. The replay number is (888) 286-8010 with the pass code 47479804. This call is also being webcast live with a replay available. To access the webcast, go to www.provcorp.com and look under the Event Calendar on the IR page.
 Before we get started, I’d like to remind everyone of the Safe Harbor statement included in the press release, and that the cautionary statements apply to today’s conference call as well. During the course of this call, the company will make projections or other forward-looking statements regarding future events or the company’s beliefs about its financial results for 2012. We wish to caution you that such statements are just predictions and involve risks and uncertainties. Actual results may differ materially. Factors which may affect actual results are detailed in the company’s filings with the SEC, including the company’s 10-K for the year ended December 31, 2011. The company’s forecasts are dynamic and subject to change; therefore, these forecasts speak only as of the date of this webcast, May 10, 2012. The company may choose from time to time to update them, and if they do, will disseminate the updates to the investing public.
 I’d now like to turn the call over to Fletcher McCusker, Chairman and CEO. Go ahead, Fletcher. 
Fletcher McCusker: Thank you, Alison, and no, we have not moved to the U.K. Sorry, Kirstie, I couldn’t resist. Thank you for your proper English. Good morning, everyone. Here in Tucson with me is Michael Deitch, our CFO, and Craig Norris, our Chief Operating Officer. With us from Atlanta today, one of the busiest people I know, Herman Schwarz, CEO of LogistiCare.
 This is probably the most exciting and certainly challenging time we have ever faced at the company. Due to our tremendous success in the nonemergency transportation space, we are simultaneously bringing up new contracts in New York City, Connecticut and Dallas. As we stated previously, we have been invited back into Missouri, after a competitor failed to perform. We have also taken over regions from competitors in Georgia and South Carolina. As a result, we have nearly 3 million more covered lines in the NET segment than we did this time last year, which we attribute entirely to our reputation and solid performance day-in, day-out, on behalf now of multiple state payors. This kind of success also makes it very hard to measure or monitor our performance on a quarterly basis.
 In the first quarter, we had approximately $1.8 million of start-up expenses, bringing up the segment contracts. It is important to remember that many of these new, very large contracts are only a small part of the available market opportunity. If we execute well, and indeed we will, we can gain statewide business, especially in New York and Texas. The initial feedback from these payors in the segment is very good. We expect that our continued success will position us very well for additional business in these prototypical states. We have seen increased utilization in 2 and 3 of our markets, which we attribute to our good execution, good access, especially in rural areas, and good outreach to Medicaid clients. We are typically rewarded with rate adjustments when we increase ride utilization through access and good execution.
 The Social Services segment is also a little ahead of revenue and continues to enjoy steady growth. Michael, I’ll let you highlight the quarter. 
Michael Deitch: Good morning, everyone. In our first quarter of 2012, revenue totaled $260 million, a record revenue quarter for us, and up from almost $228 million for the first quarter of 2011, a 14.2% increase. For the 3 months ended March 31, 2012, as compared to the 3 months ended March 31, 2011, Home-Based revenue grew 8.9%, Foster Care revenue grew 1.3%, management fee revenue decreased 10.4%, Transportation services revenue grew 18.5%.
 First quarter operating income totaled almost $6.6 million, which was 2.5% of our revenue. This compares with $13.7 million and 6% of revenue for the first quarter of last year. First quarter net income totaled $3 million, which was 1.2% of our revenue. This compares with almost $4.5 million and 2% of revenue for the first quarter of last year.
 First quarter diluted earnings per share totaled $0.23, with approximately 13.4 million diluted shares outstanding. This compares with $0.34 and approximately 13.3 million diluted shares outstanding for the first quarter of last year.
 At the end of our first quarter, our days sales outstanding was 36 days, and management fees days sales outstanding was 91 days.
 At the end of our first quarter, we had $47 million in unrestricted cash. Cash provided by operating activities totaled almost $9.2 million in the quarter.
 From December 31, 2011 to March 31, 2012, our accounts receivable balance increased by $8.6 million. $5.8 million of the increase relates to our Transportation segment, of which $5.3 million was attributable to new business in 2 new regions in South Carolina. Those operations began in February 2012. The other $2.8 million increase relates to our Social Services segment, primarily due to revenue increases in our Virginia and North Carolina operations, as well as our Tutoring business increasing volume from Q4 2011 to Q1 2012.
 During Q1 of 2012, we spent almost 4.2 million for property and equipment, the majority of which was for our Transportation segment, purchasing technology and telephone equipment, supporting new business in Connecticut, Georgia, New York and Texas.
 Also in the first quarter of 2012, as Fletcher mentioned, our Transportation segment incurred start-up costs totaling approximately 1.8 million, supporting new operations in Georgia, New York, South Carolina and Texas.
 Our tax rate in Q1 of 2012 was 35.7%, which was lower than our expected tax rate of 42.5%. We were able to take advantage of a tax accounting method change related to a 2011 acquisition. This election had a favorable impact, by reducing our effective tax rate for the quarter. The company, in consultation with our professional tax advisors, expects a 42.65% effective rate for the next 3 quarters. The effective rate for the year ultimately depends upon the profitability distribution between our 2 operating segments and the state mix of profitability within those segments.
 With that, I’ll turn the call over to Craig Norris, our Chief Operating Officer. 
Craig Norris: Thanks, Michael. For the quarter, our direct client census on the Social Services side was approximately 61,900 clients. This is an increase from the prior year of roughly 2,100 clients. We also had approximately 12.4 million individuals eligible to receive services under our LogistiCare division, an increase of approximately 3 million eligible members compared to the same quarter in 2011.
 All direct and indirect clients are being served from 502 local offices in 43 states, the District of Columbia and Canada. Dividing between our owned and managed entities, there are approximately 10,800 employees serving 979 contracts.
 In the first quarter, the Social Services segment performed well overall. We had an increase in census in many of our school-based programs, and in-home services performed ahead of plan. We have begun to execute our strategy of acquiring very small operations in North Carolina, as we see the market consolidating, and more geography will generate additional market share. We see this opportunity in other markets as well, as states seem to want to deal with fewer providers to reduce costs and increase efficiencies.
 I can’t say enough about the resiliency of our leadership teams and the quality of our program staff. Our performance outcomes are strong, and we are making inroads in a number of markets and initiatives. We are in a good position to continue to grow market share, as many states continue to seek community-based options for its Medicaid populations.
 With that, I’ll hand it over to Herman for more details on LogistiCare. Herman? 
Herman Schwarz: Good morning. In the first quarter, NET revenue grew a healthy 18.5% over the same period last year. The growth was driven primarily by adding the state contracts in Wisconsin and Missouri during the second half of last year, expanding state contracts in Connecticut, New Jersey and South Carolina, plus expanding our presence in Florida, Hawaii, Michigan and New York through new managed care contracts and adding new populations to existing contracts.
 Unlike last year during this quarter, transportation expense did not receive much benefit from trip cancellations, due to cold temperatures and winter precipitation. With the growth we’ve experienced in the last few years, our trip volume has skewed more toward the Midwest and Northeast. In other words, our largest contracts are now in these cold-water geographies, so the lack of a real winter this year certainly had a negative impact on our margins.
 We are also experiencing a higher-than-expected utilization factor in several of our largest contracts. We are working with our clients to identify the source of this higher usage, but it is apparent that improved access and better service levels have generated much of the increase.
 The price of our success in winning business last year is that we had an unprecedented level of implementation activity in the first quarter. We strained our available resources, and I want to add here that our folks in IT and training and all of the different support staffs have truly been top-notch in the last quarter, as they have been on the road and traveling nonstop to get all of these new programs up and running in South Carolina, Texas, Connecticut, New York and Georgia.
 In the quarter, we did receive a little over a month’s worth of revenue in South Carolina, but the remainder of these programs all started April 1 or later. For the most part, these implementations have gone relatively well and are working smoothly. We are still working through the normal challenges in our New York City program, as the Brooklyn borough just went live last week. This contract will be transitioned in by borough over the course of the next 9 months, so we will be going through several phases of hiring and training in anticipation of bringing on a new borough every 2 months or so.
 As for other business development, in a recently-completed process, the Wisconsin Department of Health issued a notice of intent to negotiate a contract with LogistiCare to provide transportation services to the Medicaid managed care population in the Milwaukee area. Transportation for this group is currently carved out of the state contract we started last year, and this RFP moves it back under state management for our services. If we successfully complete negotiations, this contract will start in late Q3 or early Q4.
 We also continue to work with several states that are considering a move to a broker model, but there are no active state RFPs in process right now, so it would be likely 2013 before we see any impact from a new opportunity that arises.
 I will now turn the call back over to Fletcher. 
Fletcher McCusker: Thank you, Herman, and we echo your comments regarding your hard-working staff. I thank them on behalf of all of us. A quick word on guidance, and then we will open the line for questions.
 You have noticed we have reaffirmed our previously-issued guidance in spite of the start-up and utilization costs identified in Q1 and continuing into Q2. Our new business will be fully ramped-up in the back half of 2012, and we see improved rates in many of our NET markets. As of this date, we have renewed all but one of our Social Services contracts for the fiscal year in that segment that begins July 1.
 Now with that, Kirstie, we're ready to open the line for questions. 
Operator: [Operator Instructions] Your first question comes from the line of Nick Halen from Sidoti & Company. 
Nick Halen: So the first question I had was on the Social Services side. I was kind of wondering how you guys have been able to grow faster than the census rates that we’ve been seeing. For the last 4 quarters, it looks like you’ve been up high-single, low-double digit rates on the Social Services side. So I was kind of wondering how you’ve been able to do that and how sustainable you feel that that is. 
Fletcher McCusker: Yes, I think what you’re seeing in part is last -- I think it was the summer, Michael, we converted one of our not-for-profits in Pennsylvania over to the for-profit side, so I think you’re seeing some of that in those numbers. 
Nick Halen: Okay, so a lot of that has been from the not-for-profit to profit, you’re saying? 
Fletcher McCusker: Yes, they were managed before, and we converted them over to the for-profit side. 
Michael Deitch: That number, Nick, is a owned census. So that would be census only that we operate directly. So if there is a transition, you would see an artificial gain. If you were to back that out, we’re probably pretty consistent with our single-digit growth expectations. 
Nick Halen: Okay. And also on the NET side, I was wondering if you could update us on what cancellation rates were in February and March and how they compared to last year. 
Fletcher McCusker: Yes, for the most part through the first quarter, January, February and March, we experienced cancellation rates in the neighborhood of 4 to 6 points below last year across the -- and it’s going to obviously depend based on operation, but anywhere from 4 to 6 points. Now we obviously don’t budget to the level of cancellations that we incurred last year because last year was a heavy winter season, but it certainly was much lower than what we had expected or had historically incurred over the last few years. 
Operator: Your next question comes from the line of Jack Sherck from SunTrust. 
Jack Sherck: My first question is on your ability with states like Georgia, South Carolina, Missouri throwing back some business your way. What kind of capacity do you still have in logistics here to take on new business without adding cost? 
Fletcher McCusker: Without adding cost? 
Jack Sherck: Yes. I mean how maxed out are you in terms of capacity, I guess? 
Fletcher McCusker: Well you’ve got to keep in mind when we take on state contracts, almost unilaterally there is a requirement that we set up operation in that state and add jobs in that state. So the call centers and jobs and what have you are typically in state, so we always -- almost always have to add cost when we take on a state contract like that. Obviously, we do get leverage from our corporate staff in our overhead areas, but frankly, to be perfectly honest with you, at this point, we are stretched in those areas. So we have -- if we were to take on another big contract, we would likely have to consider adding some costs either in regional operations, training, legal, HR, all those areas that support the operations. But again, that’s not -- that’s a very small part of our cost. The bulk of the cost is in-state, and we have to add that every time we take on a new state contract. With the managed care contracts, we still do have capacity. We’re not required to put the calls in the state that they’re operating in, so we can find open capacity in some of the call centers that we might have, and we do have capacity available. Maybe not the jobs, but we don’t have to go out and get more real estate in a few call centers. 
Jack Sherck: Right. And Fletcher, my second question is just kind of a big-picture question. I mean, I think you’ve always said [indiscernible] is kind of a 10% EBIT business overall. Do you still see it that way or is anything changed in the climate? 
Fletcher McCusker: We’re close to that on the Social Services segment, Jack, in the 8.5%, 9% range, and we’re quite comfortable with that. We had guided down the margins on the Transportation segment previously to about 6.5%, we are 150 basis points off of that in Q1. The startup cost issue that we just described -- but we do believe that a -- you’ll see a margin difference now between the 2 segments as a result of some of the competitive pressure that resulted in pricing decreases over last summer. So I would model the business probably 8.5% Social Services and 6.5% on a normalized basis on the Transportation segment. 
Jack Sherck: Okay, just my last question is, on the census growth we saw in this quarter was 3.5% year-over-year versus 5% last quarter. Is that just the economy getting a little bit better or seasonal shift or just what are we seeing there? 
Fletcher McCusker: Well, there’s a couple things. Certainly our school-based programs have seen growth, this has been a strong quarter for them. You are seeing some of the census from the not-for-profit conversion that I mentioned on the last question. So I think both those things are going on. I do think you’re seeing some markets on the Social Services side starting to add census where they were mostly flat before. So I think it’s a combination of those 2 things. 
Jack Sherck: But I was just wondering, the slight deceleration we saw from 4Q. 
Fletcher McCusker: The Medicaid enrollment, Jack, is flat. So you’re not seeing big enrollment swings, logistic care, the market shares story right now getting in new business and new markets. You are seeing some ideological shift on the Social Services side as Medicaid puts a lot of pressure on the out-of-home providers. So some of our census pickup is related to clients that are being diverted from 24-hour care, and we would expect that to continue. But again, we see that segment’s growth throttle back as a result of state budgets, probably in the 5% to 9% annual rate. 
Operator: Your next question comes from the line of Rick D’Auteuil from Columbia Management. 
Rick D'Auteuil: Social Service side of the business. Are you seeing any rate pressure in any states that you’re in, or is it fairly stable at this point? 
Fletcher McCusker: No, I haven’t seen -- the rates are pretty much stable and in fact, we are starting to hear some grumbling -- well, I won’t call it grumbling, but we’re starting to hear some discussion about potential increases coming, not everywhere but in some states, so that’s a positive sign because we haven’t frankly heard that in a while. But now, I haven’t had any major rate decreases at this point on the Social Service side. 
Rick D'Auteuil: Okay. And then on -- for Herman, what do you expect the startup expenses to be in Q2? It looks like a pretty substantial number again based on where EPS guidance is on that kind of revenue level. 
Herman Schwarz: Well, it’s certainly not going to be where it was in Q1. New York -- Brooklyn didn’t start until May 1, so obviously the month of April we were carrying staff and training and getting prepared for the startup without any revenue coming in yet. We do have a Georgia region. The last region in Georgia will start July 1, so we’ll have some startup costs as we get into late May and June for that, and then we’ll have the next phase in New York which is Queens, which is scheduled to start July 1 as well. So we will have some startup cost, Rick, but a lot of that Q2 is just our normal seasonality that happens in Q2 as schools get out and we take on summer programs and things like that. So it’s not all attributable to the startup costs. 
Rick D'Auteuil: Okay, but is it half of what it was in Q1, you think? 
Herman Schwarz: I would anticipate it would be somewhere in that range. I mean obviously, we’ve got infrastructure in place in New York and management now that should have some experience, so we probably won’t have to use as many people from out of state. But ,based on what we know now then I would say yes. If we throw in another big managed care contract or hit something -- if Wisconsin comes back and says for the new contract we just got there, they want us to start a little bit earlier than September, that could fluctuate a little bit. 
Rick D'Auteuil: Okay. Originally, in my discussions with you and Fletcher, the anticipated startup costs were going to be, I think, originally estimated $500,000 to $1 million, I think that for Q1, and it migrated toward $1 million, and it was actually $800,000 more than that. And Q2 was supposed to be $300,000 to $500,000, and we’re still talking at least about $0.5 million more than that. 
Fletcher McCusker: Let me explain Q1 to you. Q1, if you look at what we had budgeted and anticipated, that’s exactly what we spent, right around that $1 million. We had South Carolina that was not in our budget that came online in February, and we had a very short time frame to get that up and running. You’ll recall that all happened at the end of last year. So none of the startup costs for South Carolina nor any of the revenue or expense for South Carolina were in our budget. So South Carolina was a huge startup with a lot of people. We had to hire 65 to 70 additional people there, we had to expand the physical space that we had there, bring in all the equipment, so we had a lot of IT support and things like that going into South Carolina. So that gap of the $1 million, $1.1 million, to about $1.8 million, over half of that is South Carolina, the other part of that is Georgia. The region in Georgia that started April 1 was originally anticipated to start July 1. So that’s really a shift -- a timing issue. That was in our budget later in the year, but it got moved into Q1 because they moved the date up on us. 
Rick D'Auteuil: Are the programs -- so the startups are tracking -- are they tracking to your original expectation which was anticipated in your bid? Theoretically, we’re going to capture the margin over the time of the -- over the life of the bid of the program and you’re eating the startup costs upfront, but you’ll make that up in margin later on. 
Fletcher McCusker: Yes, absolutely. The only -- I mean in terms of looking at what we spent in Q1 versus what we expected to, I would tell you we probably had $75,000 to $80,000 of excess expense and frankly, that was a function of we got so strained with Texas, Connecticut, New York and Georgia all going on at the same time, we had to just pull people from anywhere and everywhere to try to make that happen. So we had a lot more travel cost then we had originally expected to because the timing of Georgia moving up and some of the delays between New York and Texas had them all starting at the same time, and we use job coaches from different markets to try to help get new customer services reps up and running, and so we had to start really pulling from a lot of different places. And we didn’t have the ability to put them there and leave them there just because of personal issues and everything, so there was a lot more in and out than we would normally like to do. 
Rick D'Auteuil: Okay, I appreciate that. On the insurance side that is a business you got out last quarter, the thought was that maybe we’re over reserved there, is there any update on that business? 
Fletcher McCusker: No, we haven’t -- frankly, we haven’t gone back and looked at it yet. We’re letting some of the run out occur, and we’ll get the actuaries in at the right time to kind of go back and look at that reserve and see where we stand. 
Rick D'Auteuil: And then you brought up, I think, a couple of times on this call the utilization rate not only being higher because of weather issue but also higher because of access to the services that you guys are providing. Again, I think the contracts generally call for adjustments in this case, what are you doing proactively to capture those? 
Fletcher McCusker: Well, where we have been able to definitively build the data and build a case and where it’s appropriate given the specific contract that we’re talking about, plus taking into account political factors and everything else going on, we will and have started conversations in some places around rates. It’s too early to tell you where that’s going to go and how that’s going to go, but believe me, we’re not sitting on our hands accepting a lower margin than we would like to see or expected to see. Where we can and where it’s appropriate, we are talking to our clients about the ability to put through some kind of rate. 
Rick D'Auteuil: New Jersey, is that at targeted levels yet? Or are you still struggling there? 
Fletcher McCusker: Without going too specific, New Jersey happens to be one of the states that is experiencing a tremendous spike in utilization. So if things had held where we expected them to, we’d be right where we thought we were going to be. Our unit cost is in line with where everyone expected it to be, but utilization and the lack of weather in New Jersey in particular truly hurt us there. So New Jersey is a state we are looking at in terms of the rates going forward. 
Rick D'Auteuil: Okay, let me just see if I -- I think I had one more. So if I look at -- Fletcher, I guess this kicks back to you. If I look at the back half of the year, usually third quarter on the Social Service side of the business with school vacations is a seasonally weak quarter for that part of the business. That’s still true, right? 
Fletcher McCusker: Yes, in our model, we would anticipate our traditional seasonality. I also believe, Herman and Michael can correct me, I don’t believe we have any startup or pre-revenue investment spending in the back half. Is that... 
Michael Deitch: That’s correct. 
Fletcher McCusker: That's correct. So all of the investment spending that you see because of these contracts are starting up actually earlier, it’s front loaded those costs, Rick, in the first half. So you see the impact of new revenue, the elimination of startup costs, but we still expect our typical seasonality in both segments through the summer. That’s why Q4 is so much stronger because we would be passed the seasonality, passed the startup period, and that’s a good indication of our run rate in the last quarter of the year. 
Rick D'Auteuil: Okay, if you were to compare your business historically, and I realize that the net business is growing a lot faster, so it’s become a bigger part of the pie. But would it be fair to say that the first half is generally as strong as the second half given that the Social Service has that lull in Q3, or is it typically even stronger in the first half? 
Fletcher McCusker: In a normal budget cycle, Q1 would be our best quarter, Q2 would pick up the first month of the summer, Q3 is seasonally the weak, and 4 is a little bit under 1. 
Rick D'Auteuil: Okay, so the first half generally is stronger than the second half. So if I look at sort of the run rate in the second half without the startup cost of $0.82 I don’t -- I guess I would think next year’s going to look an awful lot like $1.60 or more. Is that how we should be looking at the world? And if not, why? 
Fletcher McCusker: You’re ahead of us in that regard, but when we would build our budget, we would build it off the run rate coming out of the back half. 
Operator: Your next question comes from Kevin Campbell of Avondale. 
Wes Huffman: This is Wes Huffman on for Kevin. Just wanted to know if you could provide us any update on the strategic alternatives initiative. 
Fletcher McCusker: That’s a market rumor, Wes. It has not been initiated by the company, so consequently, we won’t respond one way or the other. 
Wes Huffman: Okay, fair enough. If -- and I guess moving to modeling purposes, if we were to, say, annualize the EPS guidance to the back half of ’12, it looks like the run rate for 2013 would be about $1.64, and is there really any reason why we should be looking at it that way? 
Fletcher McCusker: Only that we've yet to budget. We typically do a 0-based budget, but I think it’s safe to assume that the things that are affecting us in the first half of ’12 do not occur in the back half of ’12, and you should be able to build a budget off of the back half. 
Wes Huffman: Okay, and just on logistics here, quickly, could you run down the RFPs that exist right now? 
Fletcher McCusker: There are none currently in the street, Wes. Oklahoma renews in the summer of 2013, that’s the only incumbent contract that we have that's up for rebid. As Herman mentioned, there are a handful of states that are publicly discussing brokering their transportation business, none of them have circulated an RFP as of this date. 
Wes Huffman: Okay, and do you have the names of those states that are talking about that at this point? 
Fletcher McCusker: We would not preempt their public announcements, but I think if you did a little research, there’s some indication of who they might be. 
Operator: [Operator Instructions] Your next question comes from the line of Michael Petusky from Noble Financial. 
Michael Petusky: A few questions. Fletcher, on the 6.5% normalized margin that you’re targeting in the NET business, what might be the first quarter that we would see that? I mean, would that be a fourth quarter event, or first quarter next year, or when would we actually see the 6.5% in your view? 
Fletcher McCusker: We -- you should see the ramp up of the new contracts determined and joining fully in place by Q4 of ’12. So we see Q4 this year as a normalized quarter. 
Michael Petusky: Okay, all right, okay. And then the -- I guess another question, on the second quarter revenue guidance, of the incremental $15 million between the $260 million that is reported overall in the $275 million you're guiding towards, I mean, is about roughly 2/3 of that NET business and the balance Social Services, or can you just give just a general break out of how you see that incremental growth coming in? 
Fletcher McCusker: Most of that would be on the NET side, that’s the Georgia impact, South Carolina, New York City, Texas run rate. 
Michael Petusky: Right, I mean, is it a 2/3, 1/3, is that a decent... 
Fletcher McCusker: It’s probably 80-20. 
Michael Deitch: It’s mostly Transportation because Social Services is going to have a summer month in Q2. 
Operator: We do have a further question queuing for you. This once again comes from Rick D’Auteuil of Columbia Management. 
Rick D'Auteuil: Again for Herman, the 150 basis points off target of operating margin in the quarter, how much of that would you put in the bucket of weather impact? Is it 1/3 of it, or is it maybe 50 basis points, or more than that? 
Herman Schwarz: Our estimates of what -- I mean, it’s an estimate because it’s hard to tell. I mean, we obviously -- the only way we can truly get at that is to look at our cancellation rates and we can attribute a lot of that to weather, but it’s not always the case. For the first quarter, we’re saying somewhere in the neighborhood of $1.5 million was lost to weather, and that’s not revenue, that’s bottom line. 
Rick D'Auteuil: Bottom line. 
Herman Schwarz: Right, right. I mean, that’s expense that was incurred that we normally would not incur because it would have been canceled. And that’s across our system. 
Fletcher McCusker: It would represent, Rick, half of the miss. 
Rick D'Auteuil: Yes, it sounds like half is startup cost, and then half is weather. I mean, the other thing is on the 6.5% operating margin, doesn’t it really need to be something like 7% or maybe even in the low 7s to offset the periods where, if you're really recouping the startup costs through the duration of the contract, it -- at some point it’s got to be better than 6.5% to offset the 0 that you’re getting in the startup phase. 
Fletcher McCusker: That’s an annual number. We’ve always guided to annual expectation. You’re right, on both sides there’s some variance. Social Services is much more steady, the NET margin goes up a little, down a little. That would be an annual target. That's how we budget, and when guide, we guide annual, but there is some inter-quarter difference. 
Rick D'Auteuil: Okay, but I mean, obviously if some quarters are below 6.5%, there’s got to be some quarters above it, and maybe I would -- if we don’t have startup costs in the fourth quarter, we actually probably should see it above the 6.5%. 
Fletcher McCusker: We agree. 
Rick D'Auteuil: Okay. On the -- what’s the pipeline look like for Social Service acquisitions, is -- are you still looking at tuck-ins there, or is that sort of secondary at this point? 
Fletcher McCusker: Most of the pipeline activity's in North Carolina. As Craig mentioned, we are seeing an opportunity to consolidate in that state. We do have a number of interesting opportunities, and we would only announce them, Rick, if and when we close them. But we would expect to be able to do 1 a quarter, or 2 certainly this year. 
Rick D'Auteuil: Okay. The North Carolina, my recollection is it's been a tough state from time to time, is the environment better for your services, or is the reason that there’s a consolidation opportunity because it’s inferior -- inferior rates there for your services? 
Fletcher McCusker: Well, the -- if you remember the history there, this is the state that opened up home-based services to any and everybody. They had a -- they were inundated with providers, they audited many of them that were unscrupulous, began to shut a lot of them down, and it really tightened up in terms of looking for the high quality providers. So that is a state, clearly, where our model and survivability has led to a consolidation opportunity. We’re perfectly happy with the rates there. 
Rick D'Auteuil: Okay, and lastly, as the cash builds and you still have a significant debt on the balance sheet, what are your thoughts about further pay down? Maybe you can address short term and then longer term on the debt picture. 
Fletcher McCusker: We are obligated, remember, to reduce the convert to $25 million, Michael. It's currently $50 million? 
Michael Deitch: Yes. 
Fletcher McCusker: So we've got $25 million between now and a year from now that we’ve obligated ourselves to the senior letters to reduce that convert. So we will continue, Rick, to chip away at that and bring that down under the $25 million mark. It is trading from time to time, we find something we can buy at par, and we use the free cash to tender that convert. 
Rick D'Auteuil: And how about the senior debt? 
Fletcher McCusker: Well, if we continue to produce cash -- we like to keep cash on the books, we've talked about that for a variety of reasons. My guess is we probably wouldn’t do any more this year than the $25 million convert. 
Operator: There are no further questions queuing. I would like to turn the call over to Fletcher McCusker, Chairman and CEO, for closing remarks. Please go ahead. 
Fletcher McCusker: Thank you, and I -- thank you, everyone. It sounds like we got to most of everything today. If we did not get a question answered, please call Michael or I directly, and we’ll see many of you this summer. Again, thank you very much. 
Operator: Thank you, and thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect, and have a good day.